Operator: Good morning. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Manning & Napier First Quarter 2015 Teleconference. Our hosts for today’s call are Patrick Cunningham, Chief Executive Officer; James Mikolaichik, Chief Financial Officer; and Paul Battaglia, Director of Finance. Today’s call is being recorded and will be available for replay beginning at 10 a.m. Eastern Standard Time. The dial-in number is (404) 537-3406 and enter PIN number 24902179. At this time all participants have been placed in a listen-only-mode and the floor will be opened for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Paul Battaglia. Please go ahead.
Paul Battaglia: Thank you, Christy. And thank you everyone for joining us today to discuss Manning & Napier’s first quarter 2015 results. Before we begin, I would like to remind everyone that certain statements made during this call, which are not based on historical facts, including any statements relating to financial guidance, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Because these forward-looking statements involve known and unknown risks and uncertainties, there are important factors that could cause actual results to differ materially from those expressed or implied by these forward-looking statements. Manning & Napier assumes no obligation or responsibility to update any forward-looking statements. With that, I'll introduce our Chief Executive Officer, Patrick Cunningham. Patrick?
Patrick Cunningham: Good morning and thank you for joining us. Las quarter I spoke about Manning & Napier's commitment to active management. This quarter I would like to talk about what we believe are the key components to successful long-term active management results. Those are process, team and execution. Process is key to active management. Active managers are making deliberate decisions everyday about what to own and what not to own. Markets go through cycles of good and bad and often reach extremes driven by fear or greed. Decision making gets more complicated when emotion becomes part of the equation and without process there is a risk that emotion takes over. A sure way to lose money in the markets is to buy high and sell low and that’s where the emotion will lead an investor to do. However, if a process is defined and we expected it will protect an investor from these mistakes. At Manning & Napier we have a well defined process that we have used since we opened our doors in 1970. We've implemented this discipline for more than four decades through bull and bear markets and our long-term track records illustrate the value of that process. In our opinion team management is an important compliment to a well defined process. Without a team there is a risk that a single persons personality to go against the process. A team helps mitigate that risk and at Manning & Napier every one of our products is managed by a team of investment professionals. But it’s not good enough to have a team in place you need strong people to represent the team. Our team members have a long tenure at Manning & Napier, providing them with a deep understanding of our strategy and the experience of seeing its impact on our clients over time. As a result, they have a passion for protecting that process. The third key to successful long-term active management is execution. This is something that must be constantly reviewed and enhanced. During the fourth quarter of last year, Manning & Napier went through a process over viewing the execution of our investment strategies. This exercise included myself and our two co-heads of research among others. Our goal was to understand if they were things we could do or should do differently to improve our team’s execution of the process. There was one clear theme that emerged from this review that prompt to changes to the organizational structure of our research department earlier this year. And that team was improved focused. Essentially we believe that several of our research department areas have become spread too thin in terms of the variety of responsibilities they had and we felt it was necessary to make changes to bring a better sense of focus to all areas of the department. To do that, we made several changes. We appointed a single director of investments to oversee the department, Ebrahim Busheri, a senior member of our research department with a long history at Manning & Napier stepped into the director of investments role in mid March of this year. Ebrahim's sole responsibility is to oversee our research department. In addition, we made changes to some of our portfolio management teams with an explicit goal of reducing the number of people on each team to improve overall focus in communication. Today, our core teams have no more than 4 members each. These changes were implemented in March of this year and we believe that it will improve the execution of our time tested process in the months and quarters that follow. There are some additional changes that are also worth mentioning, we had turnover in two senior positions, while many would say that any turnover is unusual for Manning & Napier, I am please to say that we were well prepared to have the next generation of senior personals step into place. Beyond elevating new people to fill vacated positions, the reorganization of teams also gave us the opportunity to promote strong individuals that have proven their value add at the organization and some of our teams now include analysts that did not previously have portfolio management responsibilities. By in large, this is been a positive experience for several long time employees that have been well mentored and are not ready to take the next step in their careers. Overall, clients and business partners are communicating to us that they understand the reasoning for these changes and they are supportive. I've been part of onsite due diligence meetings with some of our clients and partners and I've seen this first hand. Of course, changes of this nature are likely to trigger a watch status with institutional consultants and investors. And we have seen some of that as well. As an example, Morningstar has lowered their qualitative Medalist rating for Manning & Napier from silver and gold status across our funds to bronze, as a result of the changes, but continues rate our process, performance, people and parent as positive. Let me report for Morningstar right up of our equity series. The four managers will continue to carry up the flexible, research driven approach that is long been part of the firm in the funds appeal. I am pleased that Morningstar has emphasized this point because I think it is very important these changes have no impact on our time tested investment process. We are not changing our stock selection strategies, our pricing disciplines, our benchmark agnostic approach, or our absolute return analyst compensation system. We continue to believe that flexibility to look different in the benchmark when warranted is key to managing risk for our clients. I'll give you a current example of that. In our life cycle portfolios, our fixed income investments have a lower than benchmark duration, given today's environment and current yields, we do not believe that investors are being paid sufficiently to make investments in longer term maturities. This positioning has negatively impacted our investment returns over the past year or so, but we are doing exactly what our clients are paying us to do. We are paid to manage risks and this is what we are doing. To reiterate my comments from last quarter, our commitment to active management has not changed and we believe the changes we made to our research organization earlier this year are evidence of that commitment. Before I turn the call over to Jim, I'll make a few comments of flows and our strategic plan. First quarter 2015, gross outflows were $4.6 billion, concentrated in our non-US equity and US equity portfolios and driven by platform relationships. Over half of the gross outflows from our equity strategies in the quarter were from two large relationships. Gross inflows remain generally inline with previous quarters at just under $2 billion. We continue to see inflows in our life cycle strategies, which represented approximately half of our total inflows for the quarter. Jim will get into more details on our flows, but I want to mention, in light of our relative returns in the first quarter of 2015 we expect flows will continue to be challenged in the near term. As I reviewed last quarter, our distribution strategy is two pronged with a distinct focus on service and new business. From a service standpoint we continue to focus both external and internal resources and being in front of our equity clients, communicating our positioning and emphasizing the merits of our time tested process and long-term results, which encompasses periods of underperformance in our past. In short, we have been here before in periods of underperformance are part of any strong active mangers track record. From a sales standpoint, we are focusing efforts on products that maintain strong track records, such as our global quality equity product where we intent to launch both retail and institutional mutual fund share classes in the second quarter. In addition, many of our life cycle strategies maintain competitive pure rankings over 3 and 5 year periods and our managed future strategies have been gaining interest in the field. With that as a background, let me turn the call over to Jim. Jim?
James Mikolaichik: Thank you, Patrick. And thank you everyone for joining us today. Hopefully, you’ve had an opportunity to review our earnings results which were released yesterday after market close. I'll take you through the financial highlights before opening the call to Q&A. And as in prior quarters, some of my comments will include references to non-GAAP financial measures, but full GAAP reconciliations can be found in our earnings release and related SEC filings. Starting with assets under management and client cash flows, we ended the first quarter with $45.6 billion in assets under management, a decrease of $2.2 billion or 4.6% from December 31. The decrease included net client outflows of $2.6 billion offset by approximately $400 million of market depreciation. And when compared to the first quarter of 2014, AUM has decreased by $6.6 billion or 12.6%. Gross inflows for the quarter were just under $2 billion, which was generally in line with the $2.2 billion of client inflows we’ve averaged over the past eight quarters of 2013 and 2014. Gross client outflows, however, were $4.6 billion for the quarter, $3.2 billion of the outflows in the quarter were attributable to our US and non-US equity products, primarily as a result of continued performance pressure and nearly half of the outflows from these products came through two large redemptions both of which were platform relationship. Our mutual fund and collective trust product had net outflows of approximately $2.2 billion for the quarter, with $1.3 billion of gross client inflows offset by $3.4 billion of outflows. By portfolio, $2.1 billion of the outflows from our mutual fund and collective trust came from US and non-US equity products, while we had approximately $90 million of net client outflows from our life cycle products for the quarter. In our separate accounts, gross client inflows of approximately $700 million were offset by $1.1 billion of outflows, resulting in net client outflows of approximately $450 million for the quarter. And our retention rate for separate accounts was 95% for the first quarter of 2015. And for the trailing 12 month period ending March 31, we have maintained a retention rate of 92%. Our non-U.S. equity products represent approximately 26% of our total AUM, down from 36% of this time last year due to net client outflows and market depreciation. And US equity strategies represent approximately 16% of our AUM, an increase of 2% from 14% AUM last year. And our multi-asset class strategies continue to represent more than half of our total AUM, and organic rate in these strategies was generally flat for the quarter, while client inflows increased by nearly $200 million compared to the first quarter of 2014. Moving to our first quarter financial results, we reported revenue of $90.4 million for the quarter, down 8% from both the first quarter of 2014 and last quarter. The changes in revenue were – are resulting from decreases in average AUM compared to prior period and from a reduction in the average revenue margin on our mutual fund and collective trust products. The revenue margin on our mutual fund and collective trust was 85 basis points for the quarter, 2 to 3 basis points less than what we experienced during 2014. However, our overall revenue margin is 78 basis points for the quarter remained consistent with 79 basis points reported last quarter and 78 basis points reported in Q1, 2014. Operating expenses were $52.6 million in the quarter, a decrease of $2.2 million and $3.7 million compared to last quarter and the first quarter of 2014 respectively. Compensation and related costs for the quarter were $26.8 million, an increase of $600,000 or 2% since last quarter, but are down 10% or $3.1 million from $29.9 million reported this time last year, based on the impact of absolute relative investment performance on incentive compensation. And for the quarter compensation and related cost represented 30% of revenue. Distribution, servicing and custody expenses, including sub-transfer agencies and 12b-1 expenses associated with our mutual fund and collective trust offerings have decreased by $2 million, when compared to last quarter, and by 9% over the first quarter of 2014, which is consistent with the changes in average mutual fund and collective trust assets for the respective periods. And other operating costs of $8.9 million decreased by approximately $800,000 or 8% since last quarter, but has increased by $1 million or 13% compared to this time last year. For the quarter, other operating costs were 10% of revenue, which is inline with prior periods. Before delivering our operating results, I've two technical points. First, I would like to remind everyone that we completed the service and performance based vesting of the pre-IPO ownership interest at the end of 2014 and as such we are no longer carrying non-cash reorganization related share based compensation expense. And as a result, beginning this period economic income is equivalent to income before the provision for income taxes and going forward, we will endeavor to use pretax income as a reference point with economic income for prior period comparisons. And we continue to use economic net income as an after tax enterprise measurement along with economic net income per adjusted share. Second we have experienced a decreased in our estimated effective tax rate from 38.25% to 37% based on a reduction in our state taxes. We expect to use this rate going forward depending any additional changes in tax rates. Both of these changes have been reflect to beginning this quarter. Now turning to our operating results, we reported pretax income for the quarter of $38.6 million and 11% decrease over economic income last quarter and down 14% from the first quarter of 2014. And economic net income was $24.3 million or $0.28 per adjusted share. And we reported economic net income per adjusted share of $0.30 last quarter and $0.31 for the first quarter of 2014. In closing, I'll cover three other topics. First, during the quarter we completed the annual exchange process as legacy shareholders, exchanged 3.2 million Class A units of Manning & Napier Group for approximately $36.3 million. Additionally, in conjunction with the completion of the 2014 investing process, we repurchased and subsequently retired 2.5 million Class A units to Manning & Napier Group during the quarter. And in April, we issued approximately 1.3 million restricted stock and restricted stock unit awards as part of our long-term incentive plan. After these transactions have been completed, including the April award issuance, our adjusted shares outstanding have decreased from approximately 88.1 million at December 31 to 83.8 million adjusted shares with the management team now owning approximately 12% of the company. With respect to the balance sheet, we continue to maintain a debt free capital structure with a cash balance of $80 million and $34 million invested in seeing [ph] products as of March 31, 2015. And lastly, we entered into $100 million four year credit facility. The facility will provide us with a financial flexibility to continue to support strategic initiatives, including expansion of our product set, and the Form 8-K is available on our website for more details on this agreement. And as you are aware, Manning & Napier Group distributed $31.3 million in cash to its members for the quarter. This distribution resulted in a quarterly dividend of $0.16 per share, which is consistent with the quarterly dividend that we provided to shareholders in prior period. That concludes the formal remarks, we'll now turn the call back over to the operator and we look forward to your questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And our first question is coming from Michael Kim with Sandler O’Neill.
Unidentified Analyst: Hey, guys. Good morning. This is actually Andrew, sitting in for Michael. So just, I know you spoke a little bit about the changes in the research group and portfolio management structure. But I was just wondering how receptive some of the longer term clients have really been given what seems to be some pretty meaningful changes, it’s the way you running the portfolios?
Patrick Cunningham: Sure. Good morning, Michael. I would – Derrick [ph] I've been on many, many meetings with partners and clients and I also – actually I am the primary service representative on just a couple of handful of clients that to make sure that I – I am in the game as well in a meaningful way and I could tell you that they – our long time clients I think have received this very well. This is probably the fifth time in our history that we had a change in the leadership, in our research department, so its not – it’s happened before. And more importantly, the clients are – they are comforted by the fact that with the underlying process that we use has not changed. As I mentioned it’s the same three stock selection strategies. It’s the same pricing disciplines and it’s the same analyst compensation structure which has a strong component that requires absolute returns and obviously if they have negative returns into our benchmarks and hurdles they will accrue a negative bonus. So, the alignment of our incentives with those of our clients still resonates and is important. The – so I would say that it’s been well received by long time clients and I would also say that it’s been well received generally speaking by clients. They understand that with some of the performance headwinds that we have had, if there is a reason for that then we can improve what we do, it’s generally welcomed.
Unidentified Analyst: Great. Thanks. And then one more, I know it’s still relatively early, but how you're thinking about the new teams, I mean, how the team is thinking about potentially repositioning the portfolio in light of the changes and some of the performance trends. And then really from a marketing standpoint, how do you align the new approach with the longer term track records of the funds?
Patrick Cunningham: The first question was, how are the teams looking at the portfolio and if there is any changes?
Unidentified Analyst: Correct.
Patrick Cunningham: The teams that I've been involved with these meetings as well, attending these meetings not all of them, I don’t have all of them, but they are having continual review of the current portfolio and there will be some changes. There have been some changes already, and there will be more changes. I would say that its not a – in terms of the positionings in the various industries and in the market sectors, I don’t expect to see big changes there immediately. I won't expect more to have within a particular industry to make sure that the companies that we own reaffirm that they meet our strategies in the best possible way. So that’s the first part of your question. What was the second part of your question?
James Mikolaichik: Change in marketing approach.
Unidentified Analyst: Just…
Patrick Cunningham: Yes, change in marketing approach, excuse me. No, there is no change in our marketing approach. This is – as I tried to indicate a little bit earlier. This is just – this is a minor modification to a team process that we've used for a long time. We have not changed the team process. We just stated so that for communication purposes and for execution purposes that it was in retrospect a little un wealthy to have as no – number of people that we had involved in the ultimate decision making process and clearly several other people on that team was spread to thin. So its reducing the responsibilities and focusing and reducing the number of people involved in these decisions, I just think is a – is just a refinement of what we've done for – since our door is open.
Unidentified Analyst: Great. Thanks for taking our questions.
Patrick Cunningham: Thank you, Andrew.
Operator: Thank you. Your next question comes from Adam Beatty with Bank of America Merrill Lynch.
Adam Beatty: Thank you. And good morning. First just a question on flows, you mentioned a couple of platform redemption. So will those redemptions – all the Manning & Napier assets that were there or is there is still some left in those accounts? And also, given that those redemptions were pretty substantial, on the gross outflows, were pretty flat quarter-over-quarter, that implied some improvement elsewhere, what kind of improving trends are you seeing and what drove that? Thanks.
Patrick Cunningham: Okay. First on the platforms, there were in one of the – one cases, it was the redemption of the – of all the assets and another it wasn’t. So it was, I mentioned two platforms, it was one and one. So, would you repeat the second part of your question Adam for me please?
Adam Beatty: Sure. Just in terms of, this implies some improvement in some of other flow trends, kind of broad way, since gross outflows were roughly flat, so what have you seen improving?
Patrick Cunningham: The inflows have been pretty consistent, we haven’t seen improving inflows from a – on a quarter-by-quarter basis, they have been pretty consistent around the $2 billion mark over the last year.
James Mikolaichik: Life cycle products had a – I did mention life cycle products had a couple hundred million more in the first quarter this year versus last year. So they've generally kept pace, but I don’t have anything to add, we are marked improvement, but slight improvement over last year in multi asset class base.
Patrick Cunningham: While we are challenged to sell our US equity and non-US equity products which were – had strong inflows prior to their underperformance , we continue to have confidence and are concentrating on our new business strategy, on the life cycle funds and multi asset class, on our global quality. And like our global qualities has an inception date of August 1 of 2011, and the net of fees annual as returns since inception is 13.5% and versus the World Index of 10.4% per year. Last three years it’s up 14% versus 12.2% through end of March. So we have strong fixed income. We have a good high yield fixed income track record. Our real estate fund is very competitive and we're seeing traction in the managed futures products as well. So, in the institutional space and in high network space. So we believe we have the tool set to generate inflows going forward.
Adam Beatty: Thank you. Appreciate all the detail. Broader question on your life cycle target date products, and you mentioned the fixed income component and how you are managing that. How important is yield in those products, I mean, it might not be given that you know, it’s a target date and folks are saving for the time, right. Are there other investors in those products that are actually in retirement that want yield or is that not a concern? Thank you.
Patrick Cunningham: Yes, we of course, it a lower yield environment as you know currently. So most of the fixed income assets that we have in our life cycle funds and in our standalone – in our standalone fixed income portfolios, our corporate’s and mortgage backed securities. So we are able to get an increase yield by moving out of treasuries and then taking some credit risks inside those portfolios. That said, in the retirement income funds, which are the resting spot after you – in the life cycle, you get from eventually down to a point where you are predominantly fixed income, we are still actively managing the equities and when people take out, when people take withdrawals from those accounts they are taking withdrawals from total return. So it’s not a yield driven product, although we do like to get the best yields for the risks that we can inside all of our portfolios.
James Mikolaichik: And Adam, I think you will remember also, we launched a few additional funds about three years ago now that are strategic income funds to hopefully participate in some of those rollover assets and those funds are particularly geared towards yield and deriving income where we put together core plus bond, high yield, real estate and high dividend and stocks to try to attack best, right element of the market. There is still, I think they are coming close to three year track records and we're hopeful that that gives us a tool for our folks to what it has with you know, in the rollover state.
Adam Beatty: Okay. So you've got both sides covered. Just one more if I could, on the employees and staffing you mentioned a stimulation of some of the changes in what have you, given your compensation structure, and in a way it structured there can be when performance is challenged negative bonus accruals and what have and – you probably experienced this once, twice in the past. So what is the response among employees, are you hearing concerns right now and what's the outlook for that? Thanks.
Patrick Cunningham: Yes. I am not hearing concerns from employees. The – I think we had multiple meetings. We had an offsite what we call firm like communication meeting. It was in the hotel near by. We had a 100 to 120 people, where the changes in research were announced. And I got multiple comments after that fact and emails very supportive of the change. And as far as research itself is concerned you know, everybody in research – we have a long average tenure for our senior people and that has not changed. They've all gone through periods of where either their sector underperformed or the market underperformed and we were part of that market. So we've all been through this before. So its not a – there is nothing new or unusual about it. And so I think this business is usual.
James Mikolaichik: And we – you'll recall also that we pay on absolute returns, more geared on that absolute return side than on a relative return basis. And so comp levels, as I mentioned earlier are still at a more elevated levels just given the bull [ph] market that we're in and the absolute returns that we've created for clients across portfolios. And we do also have a meaningful stock ownership with the research team with management owning 12% of the company and a lot of that in our research and sales professionals. So there is couple different angle to that and I think we're still in a okay spot.
Adam Beatty: Got it. Thank you for taking all my questions.
Patrick Cunningham: Thank you.
Operator: [Operator Instructions] Your next question is coming from Steven Schwartz of Raymond James.
Steven Schwartz: Hey. Good morning, everybody. I've got three. First Patrick, maybe with respect to the energy investments, which is really driven the underperformance I believe. How the change in structure that you implemented might have changed the outcome with regards to energy?
Patrick Cunningham: Yes. We are – we have been overweighed to energy and we are still overweighed to energy. As you know, we brought that under a strategy called the hurdle rate strategy, which is – and we are once again in a hurdle rate of the – what I mean by hurdle rate is when, when an industry is in horrible state and there is capacity being taken out and capital is flaming the industry, if you invest in the strongest survivors and then the companies with good balance sheets, when that supply demand phenomena turns around, they are the benefaries of that and they will – they have strong earning growth. We've seen – there is only three times in the last 25 years where the price of oil has gone below the cash cost of oil. The last time was in 2008 when – through the financial crisis, when people thought the world was coming to an end and businesses were going to be shutting down and with the price of oil fell dramatically to below the cash cost. It also happened earlier this year. So the – and last year. So we are – if you look at the capacity going out, the number of rigs that we use, we use as crude oil rig count went for about 1550 in half basically, 1600 to 800 approximately. Horizontal rig count has dropped by 30% to 35% to 40%. So, this is – this sets the stage for a change in the supply demand and so we continue to the hold the oil stocks. We are looking at – the teams upstairs. Our researchers are looking - they are scrutinizing every investment, including the energy investments that we have in the portfolio. I would expect to see some changes as a result of that process, but still maintain at this point in time our current position in energy.
Steven Schwartz: Okay. That was interesting, but not exactly where I was trying to get at. In the fourth quarter you explained that you had started to sell energy, but the drop was just too fast. And I guess my question was, how would these changes have changed that – how would the change have got you selling earlier, I guess is what I am asking?
Patrick Cunningham: Yes, I believe, I am sorry, I didn’t understand your question, now I do. There is – I think its nimbleness is the way I'd like to put it. I think having - I can't say for sure that in the second quarter of last year when we started selling our oil stocks, that this new structure would have changed that outcome. But I believe having the ability to meet in a smaller group, to communicate with a fewer number of people will allow us to be able to make those type of moves more nimbly and quickly. So one of the reasons we made the change was because we though that we might have avoided that situation as we had the structure.
Steven Schwartz: Okay. And then one, on the platforms, do you get notifications ahead of time, how does that all work?
Patrick Cunningham: At sometimes we do and sometimes we don’t. Most often in one case in December we were notified by a platform that they were going to be withdrawing their funds, redeeming their funds in mid January. So based upon the size of the withdrawals we normally get some prior notification. It could be weeks, or it could be months.
Steven Schwartz: Is there any notifications that you've received for the second quarter?
Patrick Cunningham: I can't answer that question. We don’t make that type of information public. So, but I understand why you asked it.
Steven Schwartz: Okay. And then my last question, rollovers was mentioned which brings up to me the topic of the Department of Labor and fiduciary, and the new fiduciary rules. I was wondering in particular if you saw it that could have an effect, maybe positive for you in the DCIO space, but also maybe negative for target dates, as some of that people have talked about?
Patrick Cunningham: Yes. I can tell you that, its a thousand page document. It just came out in last couple of weeks. We are definitely reviewing it and we view in detail to assess what the impact could be on our business. We are preparing – we're going to submit a comment letter as a result of it, which we often do for anything that is related to our business. But we – I can tell you in general we're in favor of broader fiduciary responsibilities when it comes to participants assets. So the – specifically how its going to impact, we haven’t made a final assessment on that, probably next quarter I can give you greater clarity.
Steven Schwartz: Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I like to – I'll overturn the floor to management for any additional or closing remarks.
Patrick Cunningham: Well, no, we're all said. Thank you for participating. Everybody have a good day.